Operator: Good day, ladies and gentlemen, and welcome to Universal Display Corporation's Fourth Quarter and Full Year 2025 Earnings Conference Call. My name is Sherry, and I will be your conference moderator for today's call. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now like to turn the call over to Darice Liu, Senior Director of Investor Relations. Please proceed.
Darice Liu: Thank you, and good afternoon, everyone. Welcome to Universal Display's Fourth Quarter Earnings Conference Call. Joining me on the call today are Steve Abramson, President and Chief Executive Officer; and Brian Millard, Chief Financial Officer and Treasurer. Before Steve begins, let me remind you today's call is the property of Universal Display. Any redistribution, retransmission or rebroadcast of any portion of this call in any form without the expressed written consent of Universal Display is strictly prohibited. Further, this call is being webcast live and will be made available for a period of time on Universal Display's website. This call contains time-sensitive information that is accurate only as of the date of the live webcast of this call, February 19, 2026. During this call, we may make forward-looking statements based on current expectations. These statements are subject to a number of significant risks and uncertainties, and our actual results may differ materially. These risks and uncertainties are discussed in the company's periodic reports filed with the SEC and should be referenced by anyone considering making any investments in the company's securities. Universal Display disclaims any obligation to update any of these statements. Now I would like to turn the call over to Steve Abramson.
Steven V. Abramson: Thanks, Darice, and welcome to everyone on today's call. We are pleased to report record 2025 revenue of $651 million. Operating income was $249 million and net income was $242 million or $5.08 per diluted share. These results reflect strong execution across the business and the continued expansion of OLED adoption throughout the industry. Brian will share additional financial details shortly. In 2025, we continue to drive value as OLEDs proliferated across the consumer electronics landscape, including wearables, smartphones, tablets, laptops, monitors and TVs. At the same time, we remain focused on the long term. We expanded our R&D efforts, strengthened our intellectual property framework, broadened our global infrastructure and deepened engagement with customers across the OLED ecosystem. These investments are designed to support the next phase of growth for both the OLED industry and for us. As we look to 2026 and beyond, it's worth reflecting on how the OLED industry has evolved and how Universal Display has helped shape that evolution. For decades, the industry was largely centered around a single dominant architecture, single-stack OLEDs. Universal Display has played a defining role in this technology's advancement. Our phosphorescent materials unlock higher efficiency, longer lifetime and better performance, helping to enable OLEDs to scale into mass market products and transform display technology worldwide. Today, the OLED industry is entering a new phase, marked by broader applications, higher performance expectations and a more diverse set of device architectures. We remain at the forefront of this evolution. Our materials and technologies continue to play a central role in OLED innovation, supporting scale and helping define the performance benchmarks that will shape the industry's next chapter. While single-stack OLED is the dominant commercial architecture today, the road map is becoming increasingly multidimensional. Performance targets continue to rise and energy efficiency matters more than ever. New applications from foldable devices to automotive and IT displays introduce new requirements. As a result, multiple device architectures are now being explored and deployed across the industry, including tandem OLED structures, phosphorosensitized fluorescence or PSF-based approaches and other emerging hybrid architectures. Across all these architectures, one element is foundational, the phosphorescent material. In PSF and other hybrid architectures, our phosphorescent materials are designed to work alongside fluorescent emitters within the OLED stack. This design helps balance efficiency, lifetime and color performance while giving manufacturers greater flexibility in meeting application-specific requirements. As OLED structures grow more complex and efficiency demands intensify, our OLED materials, along with our long-term technology leadership and deep know-how become increasingly central to enabling performance, scalability and the next wave of OLED innovation. That leadership is grounded in decades of deep materials and device level expertise as well as a long history of exploring architectural concepts at the leading edge of technology. Early research included SOLED, our stacked OLED concept as well as PSF-based architectures, which expanded our technical foundation. More recently, we completed the acquisition of intellectual property assets from Merck KGaA that included PSF and related OLED technologies. Collectively, these efforts broaden our technology platform and expand the architectural design space within our portfolio as OLED design continues to evolve. At the core of our company is an R&D platform that has been built, refined and scaled over decades. And today, that platform is more active and more critical than ever. Across red, green and blue emissive layer materials, our pipeline is exceptionally robust, reflecting the expanding OLED industry road map. As applications proliferate and architectures diversify, the performance envelope continues to be pushed forward. Different form factors, different lifetime and efficiency targets all require continuous materials and device innovation. One of the most important evolutions in our R&D platforms is our increased investment in our in-house materials discovery, device modeling and characterization capabilities anchored by a deeply experienced R&D team. This hands-on foundation remains the engine of our innovation, whether advancing next-generation reds and greens or moving blue along the path to commercialization. In concert, AI and machine learning tools are emerging as powerful accelerators for our research engine. By combining AI-driven insights with our proprietary data, device expertise and decades of OLED know-how, we can explore broader design spaces more efficiently, shorten development cycles and make better, faster, smarter decisions about where to focus our efforts. Together, these capabilities strengthen our platform to support multiple architectures, customer road maps and end markets while continuing to push the boundaries of performance. One area where this platform approach is gaining particular traction is blue. With strong and growing interest in our phosphorescent blue, we are deeply engaged with multiple customers and collaborating across the industry to support multiple architectural and strategic paths. Our confidence in blue remains unwavering. Breakthroughs of this magnitude are rarely linear. Once adopted, we believe our phosphorescent blue can enable up to a 25% improvement in OLED panel energy efficiency, delivering a meaningful step change benefit for customers, consumers and the industry. Looking ahead to 2026 and beyond, the opportunities for OLED continue to broaden. The market is evolving from being primarily mobile and TV-centric to more diversified landscape with IT applications emerging as one of the strongest drivers of near and midterm growth. According to Omdia market research, global OLED shipments are projected to surpass 1.4 billion units by 2030, driven in part by accelerating adoption across tablets, notebooks and monitors. OLED smartphone shipments are expected to grow from 810 million units in 2025 to 967 million units by 2030, while OLED IT shipments are forecasted to more than triple from 27 million to 92 million units over that same period. In automotive, OLED is emerging as a strategic enabler of both design freedom and brand positioning. Adoption is gaining momentum among luxury OEMs and Chinese new energy vehicle manufacturers as displays play a growing role in shaping the in-vehicle experience. Omdia projects automotive OLED shipments will increase from 3 million in 2025 to 14 million units by 2030. At the same time, foldables are poised for renewed momentum as leading OEMs prepare to introduce a new wave of products. OLED-enabled form factor innovation is becoming a powerful catalyst for differentiation, expanding user experience and driving architectural advancements across multiple product categories. Market forecasts indicate that 2026 marks the beginning of a broader inflection point with foldable OLED unit volumes expected to increase more than 250% from 19 million units in 2025 to 71 million units by 2030. From a manufacturing perspective, the OLED industry has entered into a new multiyear phase of capacity expansion. Between year-end 2023 and year-end 2025, installed OLED capacity measured in square meters increased by approximately 10%. Looking ahead, we expect an additional 10% increase in installed capacity between the end of 2025 and the end of 2027, driven primarily by the introduction of Gen 8.6 capacity to support expanding IT and automotive OLED adoption. Importantly, 2026 marks a significant industry milestone with the world's first Gen 8.6 OLED facilities, Samsung Display in Korea and BOE in China entering mass production. As utilization tightens and new applications scale, we anticipate additional OLED fab investment announcements further expanding industry capacity and reinforcing the long-term growth trajectory of OLEDs. On that note, let me turn the call over to Brian.
Brian Millard: Thank you, Steve. 2025 ended on a strong note with record fourth quarter and annual revenues that were in line with our expectations from November. For the year, our revenue was $651 million. Material sales were $353 million. Royalty and license revenues were $275 million. Adesis revenues were $23 million. Our 2025 revenues included a cumulative catch-up adjustment of $14 million compared to $11 million in 2024. Total gross margin for 2025 was 76% compared to 77% in 2024. Operating expenses for 2025 were $248 million compared to $260 million in 2024. Operating income for 2025 was $249 million, translating to an operating margin of 38%. This compares to $239 million or 37% operating margin in 2024. Net income for 2025 was $242 million or $5.08 per diluted share compared to $222 million or $4.65 per diluted share in 2024. We ended the year with $955 million in cash, cash equivalents and investments. Turning now to our fourth quarter results. Revenue for the fourth quarter of 2025 was $173 million, up 7% from $162 million in the fourth quarter of 2024. Fourth quarter 2025 results included a cumulative catch-up adjustment of $10 million compared to $5 million in the fourth quarter of 2024. Material sales were $96 million compared to $93 million in the fourth quarter of 2024. Green emitter sales, which include our yellow green emitters, were $74 million compared to $67 million in the fourth quarter of 2024. Red emitter sales were $21 million compared to $25 million in the fourth quarter of 2024. As we've discussed in the past, material buying patterns can vary quarter-to-quarter. Royalty and license fees in the fourth quarter were $73 million compared to $64 million in the prior year period. Adesis revenue for the fourth quarter of 2025 was $4.8 million compared to $4.6 million in the same period in 2024. Cost of sales in the fourth quarter was $41 million, resulting in a gross margin of 76%. This compares to $37 million and a gross margin of 77% in the fourth quarter of 2024. Operating expenses, excluding cost of sales, were $64 million in the fourth quarter compared to $72 million in the fourth quarter of 2024. Operating income for the fourth quarter of 2025 was $67 million, translating to an operating margin of 39%. This compares to the prior year period of $52 million and an operating margin of 32%. The fourth quarter 2025 income tax rate was 13.5%. Net income for the fourth quarter was $66 million or $1.39 per diluted share. This compares to the fourth quarter of 2024's $46 million or $0.96 per diluted share. Now turning to our 2026 outlook. We expect our 2026 revenues will be in the range of $650 million to $700 million. We estimate that our ratio of materials to royalty and licensing revenues will be in the ballpark of 1.3:1. Total gross margins are expected to be approximately in the range of 74% to 76% as a result of higher raw material pricing. R&D and SG&A expenses are both expected to grow in the mid- to high single-digit percentage year-over-year as we continue to invest in our technology and R&D engine. 2026 operating margins are expected to be in the range of 34% to 37%. We expect the effective tax rate for 2026 to be approximately 19%. And lastly, we continue to prioritize returning capital to our shareholders. During the fourth quarter and thus far in Q1, we have repurchased approximately 454,000 shares of common stock for $53 million. When combined with our dividends, this represents a total capital return to shareholders of approximately $139 million over the last 12 months. Additionally, our Board of Directors has approved an increase to our quarterly cash dividend. A dividend payment of $0.50 per share will be paid on March 31, 2026, to shareholders of record as of the close of business on March 17, 2026. The dividend increase reflects the confidence in our robust future growth opportunities, expected continued positive cash flow generation and commitment to return capital to our shareholders. As we enter the new year, we are highly profitable, operationally agile and well positioned for continued growth, supported by a strong balance sheet that enables ongoing investment in our people, infrastructure and innovation. With that, I'll turn the call back to Steve.
Steven V. Abramson: Thanks, Brian. What lies ahead for OLED is both expansive and compelling. Product road maps are broadening, new capacity is coming online and adoption continues to extend well across the consumer electronics landscape. With decades of leadership in phosphorescent materials and OLED innovation, we are supporting our customers as they bring to market the next generation of OLED products and reinforcing the industry's long-term growth trajectory. I would like to thank each of our employees for their drive, desire, dedication and heart in elevating and shaping Universal Display's accomplishments and advancements. We are committed to being a leader in the OLED ecosystem, achieving superior long-term growth and delivering cutting-edge technologies and materials for the industry, for our customers and for our shareholders. And with that, operator, let's start the Q&A.
Operator: [Operator Instructions] Our first question is from Brian Lee with Goldman Sachs.
Brian Lee: I guess just bigger picture, this is the outlook quarter. You're giving us the view here for '26. I know you're still quite constructive on the outlook for blue without quantifying it. But can you kind of give us a sense at the start of the year, where the bottlenecks to blue are and then kind of the visibility to updates on progress there moving through 2026?
Brian Millard: Sure. Brian, on blue, as Steve said in his remarks, I mean, we continue to feel like we're very much on the right path. We've been working with multiple customers now for a while on their development efforts in terms of getting our phosphorescent blue material into a commercial product for consumers. We continue to feel like we're on the right path there, Steve. Also mentioned the various architectural approaches that our customers are pursuing for blue, which I think, is even greater evidence of the fact that this material is very beneficial for them and for the industry and getting it designed in, in various approaches is very critical for them. And so in terms of the path forward, we continue to support them, but it's really much of the progress here forward is in the customers' hands in terms of getting it into a commercial device for the market, while our work continues in terms of developing and inventing new materials that help open more doors for them as they go through that process of commercializing products with blue. So the work continues, but the path that we're on and the enthusiasm we have for the product continues to be very strong.
Brian Lee: Fair enough. And then I guess just a follow-up on blue. I mean, it sounds like visibility is still somewhat limited even though there's activity across multiple customers. But if we just look at kind of the developmental revenues since you started first breaking them out in 2023, they're kind of down, right? They've just been hanging around $4 million to $5 million a year, and it was actually down in '25 versus '24. I think at one point in time, you kind of directionally had said you expect blue revenue to grow. Is there any, I guess, visibility this year as to kind of blue from a sampling and activity perspective where you would expect that number to grow and maybe be a bit of a leading indicator to kind of what might be the commercialization pathway over the next few years?
Brian Millard: Yes. I think certainly, the blue revenue figure that's reported, it was, as you said, $800,000 for Q4 and $4.3 million for the full year of '25. It's an interesting data point, but I think that there's evidence we can clearly see that a little bit of material can go a very long way in the development efforts. And so I don't think it's necessarily the only or the primary way that progress can be measured. And in terms of what we expect this year for blue revenues, it's still going to be developmental in nature. So I think modeling kind of around the zone that we've been for the last few years is a reasonable place to go.
Brian Lee: Okay. Great. Maybe just a couple of modeling ones, and I'll pass it on. Just big picture thoughts on inventory trends across key geos, especially China and maybe seasonality expectations for this year, given you had a little bit of lumpiness last year? And then just from a modeling perspective, it did seem like you had the big increase in cumulative catch-up payments in Q4, which you outlined, it was up year-on-year. Is there anything to read into that? I mean it's like the second straight year where you've had double-digit millions of revenue catch-up at the end of the year and the reasoning being out in your forecast are being taken down. Maybe just what the implications are of demand kind of coming in and how we should expect that to trend going forward?
Brian Millard: Yes. So on your first point on inventory in China specifically, I mean, I think we've -- at this point, we kind of feel like most of that tariff buying has kind of worked its way through as we exit '25. And on seasonality for this year, we are expecting more of a return to our historical pattern, which is the second half being stronger than the first half. As you know, last year, '25 was a bit of an anomaly with the tariff-related buying that happened in the first half by our Chinese customers. And in terms of the forecast and the cumulative catch-up revenue, we rely on third-party data, market research firms that track the display industry for those out-year estimates that we use in our revenue process. And recently, over the last quarter or so, there have been some revisions to those forecasts, and that's what drove the cumulative catch-up in the fourth quarter. So we go through that process on a quarterly basis. Sometimes it's very minimal, sometimes it swings the other direction. But as we closed out '25, there was a cumulative catch-up that did result in additional revenue.
Operator: Our next question is from James Ricchiuti with Needham & Company. [Operator Instructions]
James Ricchiuti: I wanted to ask about the capacity adds, particularly the new 8.6 Gen lines. What I'm wondering is how soon would you anticipate seeing benefits from these starts? And maybe looking at capacity builds. Is this something that you would anticipate in as early as Q2? And is that also embedded in your thinking around '26 guidance as we think about the second half being more weighted. I assume that also has something to do with some of the new product launches. But I wonder if you could just comment on the capacity situation.
Brian Millard: Thanks, Jim. On the capacity adds, certainly, these new fabs from both Samsung and BOE coming online this year are adding significant new capacity for the IT market. And Samsung's fab is not expected to come online till sometime in Q2 and BOE's shortly thereafter. So we really aren't going to get a full year of operations from out of those 2 fabs but they are incorporated in our overall guidance for the year and to some degree, are weighing on that second half orientation. But there's also, as you know, a heavy product cycle orientation in the second half that also drives the reason for the revenue being more second half weighted.
James Ricchiuti: Okay. I want to ask about the competitive environment in China from local players. And just looking at some of the revenue concentration with your large customers, it looks like revenues in -- with one of your large customers in China has declined year-over-year for the last 2 quarters. And I'm just wondering, how do you view their market activity with some of these new local players, maybe even from a longer-term perspective?
Brian Millard: Yes. There certainly has been an increased competitive environment over the last few years, especially in China. China remains a critical market and a growing market for us and for the industry, and we're continuing to support our customers in China and work with them on all their development needs. Also, as a company, we are making additional investment in the Chinese market. We've added additional folks to our team there. We're in the process of opening a new lab in China as well. So making sure that all the local support that we have on the ground is at the right level for what we need to support our customers there. But certainly, there is a competitive environment. But when you look at our materials, the quality of our materials, the patent position that we have with more than 7,000 patents that are very global in nature, we continue to believe that we'll have the dominant position in the OLED materials market going forward.
James Ricchiuti: Maybe one final quick one. Is there any update that you can provide on the contract talks with LG?
Brian Millard: Yes. So we've been working with LG, as you know, for more than 2 decades at this point, continue to have a very strong relationship with them, and their contract did expire at the end of last year. We're working through the details of a new contract with them. So nothing to announce today, but things are progressing as we'd expect there, and we have no concerns about getting a new deal put in place.
Operator: Our next question is from Mehdi Hosseini with SIG.
Mehdi Hosseini: Just want to go back to your calendar '26 revenue guide, the midpoint implying 4% year-over-year growth. I want to better understand the underlying assumption. Are you looking at the smartphone units, notebook and TV and rolling up? Or are you looking at the Gen 8 and just the panel production? And the reason I bring this up is we're all struggling to figure out how higher cost of component is adversely impacting end market demand. And essentially, I want to know if there is some conservatism from that or from that variable dialed into your guide? And I have a follow-up.
Brian Millard: Mehdi, the guidance at the midpoint and overall really is in line with the industry growth that's projected in terms of area. So that mid-single digit, roughly the midpoint of our guidance and the mid-single-digit growth aligns very closely with the square area growth that's projected for the OLED market this year based on the firms that publish estimates for that. And to your point, this year -- and to your question on what we're taking into account, we're taking into account everything across smartphones, IT, TVs and other markets. So it's a total view of all the various end markets where our material ends up. And on the potential downside, as you said, there are concerns about memory pricing and availability this year that are factoring in on the downside. There's also on the upside, the opportunity for stronger IT demand as well as foldable demand that's coming out this year. So that's -- those are the various factors that we weighed in coming up with the $650 million to $700 million range. But the midpoint is very closely aligned with the area of growth that's projected for the industry this year.
Mehdi Hosseini: Okay. And then the follow-up has to do with royalty and how should we model this for '26 as you renegotiate your contract with LG? Should we just make some assumption from the past couple of years and use a ratio? Or would there be a greater variability impacting the royalties from that particular customer?
Brian Millard: We're expecting overall across our total business for the ratio of materials to licensing this year to be around 1.3:1. So that's the best way to model it.
Operator: [Operator Instructions] Our next question is from Martin Yang with Oppenheimer & Company.
Martin Yang: I have a follow-up to the catch-up -- cumulative catch-up figure in 4Q. Is there any more context you can give us on where the adjustment is happening? Is the relating to certain product categories or certain customers?
Brian Millard: Martin, so the cumulative catch-up was across all of our customers. So there's some that are positive, some that are negative, but they netted out to that $10 million cumulative catch-up figure in the quarter. And it's not end market specific. It's more of a total number because the way that we recognize revenue is based on our total business with each of our customers, and we are recognizing an average ASP over those contract terms. So it wasn't specific to any particular end market or application.
Martin Yang: Got it. Just a quick follow-up on that. So can you confirm that some customers, the figures were adjusted up and some were down. So it's not directionally in the same direction?
Brian Millard: To varying degrees, yes, each quarter, we typically see some going one way and some going the other as we have to go through that re-estimation process. And it's a combination of for the next 12 months, we use our own internal forecasting processes. And then for the later periods, we do rely on that third-party data. So typically, each quarter, the number we report, which is a net number. Within that, there's certain customers that are moving one direction and certain another.
Martin Yang: Got it. And then last question on the guidance. So you talked about error growth according to third-party research at the midpoint, do you also incorporate your own view regarding how end market such as smartphone shipments would trend this year? Or is this the error growth as the sole anchor for the midpoint of the guidance?
Brian Millard: Yes. So the foundation of our guidance is also really our customer forecast, right? So meeting with our customers, understanding what they're hearing from the OEMs in terms of demand for the year across all the various end markets that they supply. And when we -- so we certainly are within our range in terms of the customer forecast and where that rolls up. The midpoint of our guidance also happens to align closely with the data that many of the industry firms are publishing for what they project this year. And then looking beyond '26 into the next few years, we do expect the growth rate to increase significantly off of what's projected this year, but '26 does have more mid-single-digit growth associated with it based on what we're hearing from our customers as well as what those market research firms are projecting.
Operator: Our next question is a follow-up from Jim Ricchiuti with Needham & Company.
James Ricchiuti: Brian, I just want to go back to the comment you made about gross margins. I think you talked about higher raw material costs. And I was wondering if you could elaborate on what you're seeing, specifically what materials.
Brian Millard: Yes. So we have certain raw materials. Iridium is one that is a key raw material for many of our products. And it has fluctuated in price over the last few years, and we do expect to sell products this year that have some higher cost iridium in them as well as other raw materials as our materials continue to get more complex and increase their performance characteristics, there's also a different quantity of raw materials required as well as type of raw materials that also can drive an increase in cost. So that's having some impact on us that caused us to revise the gross margins to be 74% to 76% as the guide for this year.
James Ricchiuti: If you were to just quantify that versus what -- maybe what we saw this past year, how much of a headwind is it? Is it -- I'm not sure if it's entirely the increase that you're seeing in some of these material costs or if there's something else?
Brian Millard: Yes. On the pricing side, we really aren't expecting any significant adjustments in pricing in '26. It really is coming down to raw materials being a key driver of the decrease -- slight decrease off of where we were in '25.
Operator: Our next question is from Woo Jin Ho with Bloomberg Intelligence.
Woo Jin Ho: And just another follow-up on the gross margin. Look, at the end of the day, gross margin has been sliding from the 80s all the way to the mid-70s with the latest guidance. I'm just curious if there's anything else outside of the raw material costs. Curious how -- if you're able to pass through some of the good development work that you've done to at least stabilize gross margins going forward from here.
Brian Millard: Yes, so part of what's caused gross margin over the last year to decrease modestly is volume pricing. So as the industry has grown and matured, our volumes have increased significantly over the last number of years. And therefore, there has been a slight decrease in ASP just as volume and scale has increased in the industry and therefore, in our business as well. In terms of costs and conversations about those with customers, certainly, when we sit down with our customers to talk about new long-term agreements, our cost structure and changes in it since we last negotiated a deal are certainly front and center as part of those conversations and factor into the ultimate outcome that we reach with our customers.
Operator: We have reached the end of our question-and-answer session. I would like to turn the call back over to Brian Millard for any additional closing remarks.
Brian Millard: Thanks very much for your time today. We appreciate your interest and support.
Operator: Thank you. This does conclude today's conference call. You may now disconnect.